Operator: Welcome to the Second Fiscal Year 2020 ResMed Earnings Conference Call. My name is Christine, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to Amy Wakeham, Vice President of Investor Relations and Corporate Communications. Amy, you may begin.
Amy Wakeham: Great, thank you, Christine. Good afternoon and good morning, everyone. Thanks for joining us, and welcome to ResMed's second quarter fiscal year 2020 earnings call. This call is being webcast live and the replay, along with a copy of the earnings press release and our updated investor presentation, will be available on the Investor Relations section of our corporate website later today. Joining me on the call today to discuss our quarterly results are CEO, Mick Farrell; and CFO, Brett Sandercock. Other members of management will be available during the Q&A portion of the call. During our call, we will discuss several non-GAAP measures. For a reconciliation of the non-GAAP measures, please review the notes to today's earnings release. As a reminder, our discussion today may include forward-looking statements, including, but not limited to, expectations about our future performance. We believe these statements are based on reasonable assumptions. However, our actual results may differ. You are encouraged to review our SEC filings for a discussion of the risk factors that could cause our actual results to differ materially from any forward-looking statements made today. With that, I'd like to now turn the call over to Mick.
Mick Farrell: Great, thanks Amy, and I'll go a little fast on my prepared remarks so we still have time for Q&A, despite the phone difficulties. Thanks, Amy. And thank you to all our shareholders for joining us today as we review results for ResMed's second quarter of fiscal year 2020. On today's call, I will discuss our long-term strategy. I'll then review top level financial results, some business highlights from the quarter, and a few key milestones. Then, I'll hand the call over to Brett who will walk you through our financials in further detail. Our team achieved another quarter of strong revenue growth across the portfolio driven by superb performance in the mask category, particularly in the US market with good performance across the 140 countries where we provide our solutions. We continue to take market share with our software solutions that enable increased therapy adherence with resupply programs providing support to those who need it and with our innovative new products. Customers are voting with their wallets and they are voting for ResMed. As the world's leading software driven medical device company, we are using digital health technology to transform the industry. We have sold nearly 11 million, 100% cloud connectable medical devices into the market, and Air Solutions our cloud-based ecosystem manages more than 12 million patients. In the last 12 months, we have changed over 15 million lives by providing a person with a ResMed device or complete ResMed mask system to help them breathe better and live better lives. In addition, our Brightree and MatrixCare software systems are helping to manage 90 million more people outside the hospital. Digital health technology is an integrator across everything that ResMed does. AirView, myAir, Propeller, and a portfolio of other digital health solutions allow us to better engage with our customers and partners, including patients, physicians, providers, payers, and complete healthcare systems. We are investing in advanced analytics and expanding our capabilities in machine learning and machine intelligence so that we can grow this digital health ecosystem at double digits on a volume basis. We will grow from just over 100 million lives improved with our healthcare products and solutions as we ended 2019 to our ambitious forward looking goal of improving 250 million lives in 2025. We now have over 5.5 billion nights of respiratory medical data in the cloud, and we are analyzing these data to derive actionable insights for the benefit of patients, physicians, providers, and healthcare systems. Our relentless focus on product and software innovation continues to set us apart from our competition. We have massive opportunities ahead in sleep apnea, in COPD, as well as in outside the hospital software to help patients live better quality lives, to help patients and healthcare systems save money, and to help achieve better management of chronic disease. We believe that the future of healthcare is outside the hospital. That's where ResMed competes today and that's where we are winning today. We have the right elements in place to achieve our strategy and to drive financial success as we provide market-leading value to customers. Let's now briefly review our top level financial results. We achieved another quarter of double digit revenue growth. We're up 14% in constant currency across our portfolio. This growth continues to be well balanced across our domestic US, as well as our global product sales, as well as from our software-as-a-service business. We continue to deliver operating leverage with non-GAAP operating profit growth of 21% year-over-year and non-GAAP diluted earnings per share of $1.21. I'd like to focus now on our core sleep apnea and respiratory care businesses. In the device’s category, we delivered a good quarter with year-over-year constant currency device growth of 8% globally supported by strong 9% device growth in the United States, Canada, and Latin America geographies as well as by improving Europe, Asia, and rest of world growth, which was at 6% constant currency in the device category. We continue to face headwinds for device growth in France as a result of the 2018 and 2019 digital health related fleet upgrades. We expect that the headwinds will begin to abate in the upcoming European summer, and we will start to return to market growth for devices in France during fiscal year 2021. Underlying patient growth remains healthy around the globe, and we continue to benefit from strong market dynamics with over 900 million people worldwide suffering from undiagnosed and untreated sleep apnea. Growth in the masks and accessories category of our business was incredibly strong during the quarter. We were up 16% constant currency globally in this category, well ahead of market growth rates, indicating that we gained significant market share with our latest patient interface innovations. Removing the impact of some software within this category, we are still growing our global mask franchise in the mid-teens. Our flagship masks the AirFit F20 and the AirFit N20 continued their growth across global markets. The success of these masks was augmented by continued good uptake of our more recent mask launches. We have launched a steady rhythm of mass innovation over the past 15 months. We have just lapped the successful launch of the F30 in the December quarter, and we will lap the launch of the N30, the N30i, and the P30i during the coming 12 months. The F30i was launched just over a week ago combining the needs for patients in the Freedom and the Minimalist mask segments.  With our portfolio of solutions, we are ensuring that we have the right mask for every patient, every time. We are innovating and expanding our mask portfolio to offer comprehensive options for physicians and home care providers, and for the specific needs of the ultimate customer, and that's the person who suffocates every night with sleep apnea. We remain focused on driving innovation to meet underserved customer needs. We are creating future products that are smaller, quieter, more comfortable, and more customized to each person's needs. Through digital health technologies, such as the myAir app, we are driving patient engagement without therapy, so that people can enjoy the benefits of better breathing and better sleep. We have well over 2 million patients using myAir and leveraging its insights and personalized feedback through coaching algorithms. In parallel, we are also ensuring that the cost of sleep apnea as a chronic disease can be better managed by physicians, providers, payers, and healthcare systems. Our Digital end-to-end solutions combined with available 100% cloud connectivity, as well as information provided to patients on their own smartphones are all leading to significant improvements in cost, improvements in healthcare outcomes and improvements in quality of life. We believe cloud based software combined with world leading medical devices can add value and improve both clinical outcomes as well as the patient experience. On the partnership front, our joint venture with Verily is creating software solutions to help identify and engage and enroll people with sleep apnea on a journey to better sleep and better breathing. We have commenced pilots in a handful of US cities to improve awareness, identification and engagement with the importance of good sleep and breathing to overall health. Our philosophy is this, the more a person knows about how much they suffocate every night, and the consequences of that suffocation on their overall health outcomes, the more likely they will seek solutions. At its simplest level, this partnership will drive incremental growth in our core sleep apnea business over the longer term and on a deeper level. This partnership will also allow ResMed to participate in a broad chronic disease management platform covering sleep apnea, cardiovascular disease, diabetes, mental health and beyond. I'd like to now focus on our business in respiratory care. There are nearly 400 million people suffering from chronic obstructive pulmonary disease or COPD worldwide. We don't believe these people are well served by global healthcare systems today and many COPD patients are frequent visitors to hospital emergency rooms with admissions and frequent readmissions. We have a vision to better manage COPD patients through the use of technology with digital end-to-end solutions. Technology such as our Propeller platform helps how patients are communicated to, it helps how they are encouraged in the medical care and it helps how folks are looked after as an individual person. We believe that technology combined with world leading medical equipment can add substantial value to improve both clinical outcomes and the patient experience. We plan to offer a portfolio of solutions through all stages of COPD progression. We will be there with Stage 1 and Stage 2 COPD patients as they commence inhaled pharmaceutical therapy managed by the Propeller platform. We will be there with Stage 2 and Stage 3 COPD patients as they add portable oxygen therapy to their care. We will also be there with Stage 3 and Stage 4 COPD patients as they commence non-invasive ventilation therapy and ultimately life support ventilation therapy. We will manage the person on one end-to-end digital health COPD platform, helping the patient, helping their caregivers and loved ones, as well as helping their physicians and providers so that they have the right information at the right time, lowering costs and improving outcomes. Our team at Propeller continues to progress their business as we move along the path from pilot trials to commercial partnerships with both pharmaceutical partners and healthcare systems. The digital health opportunity with inhaled respiratory medicine adherence will take time to build and we are making good progress. In December Propeller was included the only chronic respiratory disease solution in Express Scripts first formulary for digital health solutions. In November, access for Propeller users was expanded to pharmacy services from CVS, from Walmart, from Kroger and from Rite Aid. This was access directly from the Propeller app via my pharmacy feature within that smartphone application. We will update you on the milestones for Propeller with partners in both pharma as well as healthcare systems as we move forward throughout 2020. Finally, I'd like to focus on our software as a service business. We continue to integrate and optimize the out of hospital SAAS portfolio for long-term growth. We are focused on leveraging our competitive advantage as the only strategic player competing with leading software solutions focused on home medical equipment providers, skilled nursing facilities as well as home health and hospice providers. Our SAAS portfolio revenue grew 37% year-on-year this last quarter, benefiting from the MatrixCare acquisition that we left during November. We estimate that the weighted average market growth rate of these sectors we compete in is in the high single digits, excluding the timing benefit of the MatrixCare acquisition and on a pro forma basis, our SAAS portfolio grew in line with market in Q2. Our plan is to beat that market growth rate over the medium to long-term. As we reached the fourth anniversary of our Brightree tree acquisition here in 2020, we are achieving strong [Technical Difficulty] in our home medical equipment or HME sector with our Brightree team in Atlanta. We just passed the one year anniversary without MatrixCare acquisition in the quarter and we are increasing our investments in our MatrixCare team up there in Minneapolis. This investment is focused on new module introduction for our MatrixCare platform, so that we can ensure that we're able to grow and share in our skilled nursing facility as well as home health and hospice sectors as we move forward. We're doing the hard work to make MatrixCare as successful as Brightree is in the ResMed portfolio. And we have all the elements in place to do that. It took around 24 months to see strong sustainable returns from our investments in R&D and our management team at Brightree. We think we can meet or beat that timeline for strong and sustainable returns from our MatrixCare investments that we are currently making. Last quarter, we announced a collaboration with Cerner as the new preferred partner for home health and hospice software for Cerner's customers. It is early days in that partnership and things are going very well. We've started to migrate existing home health and hospice customers to our MatrixCare solution. Our sales team is actively engaged with Cerner's sales team, with customers learning of the benefits of our MatrixCare, home health and hospice software. We are excited to drive growth from this partnership. The rich interoperability between our two solutions will provide value for both Cerner and ResMed and customers as well as their patients and residents. I would like to take a moment to announce and exciting technology tuck-in acquisition that we are just in the process of completing. Just this week Brightree signed an agreement to acquire a company called SnapWorx. SnapWorx is a privately held software company that provides patient contact management and workflow optimization for sleep apnea resupply. The combination of Brightree's technology and logical services with this new SnapWorx technology creates the largest resupply base in the industry with end-to-end workflow automation. For our HME customers, the combination of these two technologies Brightree and SnapWorx will increase patient adherence and increase operational efficiency. We expect the transaction to close very shortly. The acquisition of SnapWorx is expected to be neutral to our non-GAAP ResMed earnings per share initially. However, we expect this acquisition will be accretive to non-GAAP earnings per share during fiscal year 2021. In summary, we have the vision to transform and significantly improved software solutions across outside the hospital healthcare sectors. We see a future where patients seamlessly transfer from HME to skilled nursing facilities to home health providers to hospice providers and beyond with reduced costs and increased efficiency resulting in better system outcomes as well as a high quality of life for the person in out of hospital care. Before I turn the call over to Brett, let me close with this. The first half of fiscal year 2020 was strong, and we are well positioned to grow through the second half of fiscal 2020 and beyond. The continued success of our mask and device portfolio along with a solid pipeline of new products and new digital health solutions covering sleep apnea, COPD and out of hospital software gives us confidence in continued growth as we move through the year. We have positioned ResMed for the long-term as the global leader in digital health driving top line and bottom line growth as we execute toward our 2025 strategy. We are focused on our triple aim; first, to slow chronic disease progression; second, to reduce overall healthcare system costs and third, to improve quality of life to the ultimate customer, the patient. With that all hands go over to Brett in Sydney for his remarks and then we'll go to Q&A. Brett?
Brett Sandercock: Great, thanks Mick. In my remarks today I'll provide an overview of our results for the second quarter of fiscal year 2020. As Mick noted we had a strong quarter. Group revenue for the December quarter was 736 million, an increase of 13% over the prior year quarter. In constant currency terms revenue increased by 14%. Excluding revenue from acquisitions, group revenue increased by 11% on a constant currency basis. Taking a closer look at our geographic distribution and excluding revenue from our software as a service business our sales in US, Canada and Latin America countries were 408 million, an increase of 14% over the prior year quarter. Sales in Europe, Asia and other markets totaled 242 million, an increase of 5% over the prior year quarter. However, in constant currency terms sales in combined Europe, Asia and other markets increased by 8% over the prior year quarter. Breaking out revenue between product segments; US, Canada and Latin America device sales were 204 million, an increase of 9% over the prior year quarter. Masks and other sales was 204 million, an increase of 19% of the prior year quarter. The revenue in Europe, Asia and other markets, device sales of 162 million, an increase of 4% over the prior year quarter or in constant currency terms an increase of 6%. Masks and other sales in Europe, Asia and other markets was 79 million, an increase of 8% over the prior year quarter or in constant currency terms an increase of 11%. Globally in constant currency terms device sales increased by 8%, while masks and other sales increased by 16% over the prior year quarter. Software as a service revenue for the second quarter was 87 million, an increase of 37% over the prior year quarter. During the rest of my commentary today, I'll be referring to non-GAAP numbers. The non-GAAP measures adjusted the impact of amortization acquired intangibles, purchase accounting fair value adjustments to MatrixCare deferred revenue, litigation settlement expenses and acquisition related expenses. We have provided a full reconciliation of the non-GAAP to GAAP numbers in our second quarter earnings press release. Note that this quarter for GAAP reporting purposes we are now reflecting the portion of amortization of acquired intangibles attributable to develop technology in our cost of sale, rather than being allocated to operating expenses. We've made this change along with SEC disclosure guidance. This mainly [ph] will disclose both GAAP and non-GAAP profit ratios going forward. We have included reconciliation of both GAAP and non-GAAP gross profit and gross margin in our press release. Going forward I will reference this non-GAAP metric because I believe it is the best measure of our underline gross margin. Our non-GAAP gross margin improved to 59.7% in the December quarter compared to 59.1% in the same quarter last year. Compared to the prior year, our non-GAAP gross margin increased by 60 basis points, this was predominantly attributable to viable product mix and manufacturing efficiencies partially offset by typical declines in average selling prices. Moving on to operating expenses, our SG&A expenses for the second quarter were 171 million, an increase a 6% over the prior year quarter. In constant currency terms SG&A expenses increased by 8%. Excluding acquisitions, SG&A expenses increased by 2% on a constant currency basis. SG&A expenses as a percentage of revenue improved to 23.3% compared to 24.8% that we reported in the prior year quarter. Looking forward subject to currency movements and taking into account recent acquisitions, we expect SG&A as a percentage of revenue to be in the range of 23% to 25% for the remaining two quarters of fiscal year 2020. R&D expenses for the quarter were 50 million, an increase of 16% over the prior year quarter or on a constant currency basis, an increase of 18%. Excluding acquisitions, R&D expenses increased by 4% on a constant currency basis. R&D expenses as a percentage of revenue were 6.8% contains a 6.6% in the prior year. Looking forward subject to currency movements we expect R&D expenses as a percentage of revenue to be in the range of 7% to 8% for the balance of fiscal year 2020. Total amortization of acquired intangibles was 20.6 million for the quarter, an increase of 30% over the prior year quarter, reflecting the impact from our recent acquisitions. Stock based compensation expense for the quarter was 14.1 million. Our non-GAAP operating profit for the quarter was 219.5 million, an increase of 21% over the prior year quarter. While non-GAAP net income for the quarter was 176.3 million, an increase of 22% over the prior year quarter. On a GAAP basis our effective tax rate for the December quarter was 10.2%, while on a non-GAAP basis, our effective tax rates for the quarter with 11.6%. Our tax rate was favorably impacted by a tax benefit of 20.3 million associated with the vesting of employee share based compensation in particular the tax deduction associated with the vesting of executive performance documents in November, Excluding the impact from this benefit, our GAAP effective the tax rate would have been 21.6%. And our non-GAAP effective tax rate would have been 21.5%. Looking forward, we estimate our effective tax rates for the second half of fiscal year 2020 will bring the range of 19% to 21%. Non-GAAP diluted earnings per share for the quarter were $1.21, an increase of 21% over the prior year quarter, while GAAP diluted earnings per share for the quarter were $1.10. Our diluted earnings per share were also favorably impacted by the text benefit that I've just discussed. Excluding the impact of this guidance our non-GAAP earnings per share would have been $1.07. Cash flow from operations for the second quarter was 69.9 million reflecting robust underlying earnings partially offset by the timing of tax payments with 111 million in tax paid in our second quarter. Additionally, we made the payment for our settlement to the US Department of Justice of 40.6 million this quarter. Capital expenditure for the quarter was 25.1 million. Depreciation and amortization for the December quarter totaled 45.5 million. During the quarter we paid dividends of 56.1 million. We recorded equity losses of 6.9 million in our income statement in the December quarter associated with a Verily joint venture. We expect to record approximately 6 million in equity losses each quarter for the balance of fiscal year 2020 associated with the joint venture operations. Our Board of Directors today declared a quarterly dividend of $0.39 per share. At December 31, we had 1.3 billion in gross debt and 1.1 billion in net debt. Our total assets were 4.4 billion and our balance sheet remains strong with modest debt levels. Finally, to recap, our top line revenue was strong this quarter with growth across all major categories. Gross Margin expanded and our operating costs remained well controlled. As a result, we are continuing to drive operating leverage with Q2 non-GAAP operating profit up 21% year-on-year. We are focused on driving operating results, integrating our SAAS acquisitions and ensuring we continue to invest in our strategic long-term opportunities. And with that I'll hand the call back to Amy.
Amy Wakeham: Great, thank you Brett. We'll now turn to the Q&A portion of the call. I would like to remind everyone to limit yourself to one question and if you have additional questions, please feel free to return to the call queue. Christine. We're now ready for the Q&A portion of the call.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from line of Margaret Kaczor from William Blair. Your line is open.
Margaret Kaczor: Hey, good afternoon, guys and Good morning to Brett out in Australia.
Mick Farrell: Thank you.
Margaret Kaczor: And you may be the first one for me is on mask growth. Obviously, you guys continue to do very, very well from that perspective. So as we look at the last maybe 12 to 18 months, can you give us a sense of the relative impact of new product launches, especially in the white spaces maybe that you weren't in before, the resupply agreements that you kind of referenced, a little bit at JP Morgan, market growth and general share taking and the idea is as we look forward how're the moving dynamics between those categories, and how do you kind of adjust your strategy to keep performance high? Thanks.
Mick Farrell: Yeah, thanks for your question, Margaret. And as you noted, there's a number of factors contributing to this very strong mask growth that we had, 16% constant currency on a global basis, and even taking out some of the software just well up there in the mid-teens. You hit on pretty much all of them. There's an increased adherence that we're driving through our digital health solutions when we're achieving 87% adherence, when the doctor is using AirView and the patient is using myAir, and all the digital techs in play that drives up our mask growth. Secondly, when there's resupply and patients have the opportunity if they want to, to participate in getting a fresh mask as their old mask becomes used, and we are partnering with Brightree, Connect, and with ResMed ReSupply to provide that and the acquisition of SnapWorx will help. And then thirdly and really importantly, these last 15 months, the steady flow of four really exciting new mask innovations. Interestingly, these mask innovations aren't to replace a previous product, but to go after underserved or under met customer needs. And we call the minimalist category and the freedom category where people move through different positions during sleep; prone, left, right, sleepers want a Freedom mask and people who had some claustrophobia or want small, larger masks go to the minimalist category, and the F30 that we just launched is right in the heart of both of those. So it's all the above contributing to this really strong growth. We still think that the market growth right is in the high-single digits for masks. And we took really good share during this December quarter. Our job and challenge is to keep driving all those things: resupply, adherence, mask innovation and we plan to do just that.
Margaret Kaczor: Thanks guys.
Mick Farrell: Thanks Margaret.
Operator: Your next question comes from line of Matthew Mishan from KeyBanc. Your line is open.
Matthew Mishan: Great and thank you for taking the questions, hi, just a follow up on the market share gains in masks. Are you winning new patients at a higher market share clip or are you able to convert existing sleep apnea patients from competitors and getting them to switch?
Mick Farrell: Yeah, Matthew, that's a really good question. I'll hand that to Jim Hollingshead, the President of our Sleep Division to walk through that.
Jim Hollingshead: Good morning, Matthew. I'm down in Australia. So I hope you can all hear me as well.
Matthew Mishan: I can hear you just fine.
Jim Hollingshead: Yeah, it's a combination of both. We feel very confident in our overall position with mask that we’ve had so many masks launched, and and as Mick referenced, we've had several mask launches in the last 15 months. All of them have been successful launches. We now have a very wide portfolio. It's the widest portfolio offering of mask on the market. So, we continue to take new patient share across all three mask categories. I'm sure we're likely to also be getting competitors switching, and there's less market data available on that dynamic, but we're very confident we're taking new patient share pretty successfully.
Matthew Mishan: Thank you.
Operator: Your next question comes from line of Sean Laaman from Morgan Stanley. Your line is open.
Sean Laaman: Good morning, Mick. Hope you're well. My question relates to something you announced last quarter, and I wonder if you can give a bit of an update on how this Novartis deal with Propeller, is there any update there and how that might be tracking? Thanks.
Mick Farrell: Thanks, Sean. Well, we don't talk in our core business or in our new software businesses about individual customers or partners until things are public and moving along, but there was a public data last quarter from our work with pilot trials with both GSK and Novartis in the Propeller area looking at inhaled pharmaceutical medicines. Look, the beauty of it – as I sort of described in the opening remarks, the beauty of Propeller is it provides an end-to-end platform to help us take care of people with chronic obstructive pulmonary disease. And so, Stage 1 and 2, with Propeller, we can take care of the patients, ensure they have the medicines that their doctor prescribed for them but also engage with that person because they're going to – it's a progressive disease, they're going to move from Stage 1 to Stage 2 and Stage 3 and Stage 4 COPD. And so our goal with Propeller is not just to have a partnership with pharma company A or B, but it's to really create a platform where we help end-to-end management of a person as they move through disease progression and it helps us engage with that person to help them adhere to their therapy, whether that therapy is the pharmaceutical inhaler or that therapy is a portable oxygen concentrated or that therapy as they move forward is a non-invasive ventilator or a life support ventilator. And so that's our goal with these partnerships. As we hit milestones during 2020 on the pharma side and as we hit milestones on the healthcare system side, we'll give updates on that. But look, yes, we did talk to the MAGNIFY trial that we're still enrolling patients for with Novartis. That's in its early days. So we will give updates on the clinical data, but also importantly commercial partnerships as they move forward through 2020. Thanks for your question, Sean.
Sean Laaman: Yeah, thank you Mick.
Operator: Your next question comes from the line of John Deakin-Bell from Citigroup. Your line is open.
John Deakin-Bell: Good morning. My question just relates to the increase in the SG&A, obviously, you've got fantastic leverage from that and I think we've talked about it previously, but the 2% underlying seems a – I think that's a record low numbers for you. And just give us a sense perhaps, of how that might look over the next six months and maybe going forward or should it return back to the kind of mid-single digit levels?
Mick Farrell: So I'll hand that to Brett who's down in Sydney.
Brett Sandercock: Yeah, thanks. Hi, John. Yeah, it was a low this quarter. And we did benefit, certainly from much lower litigation related expenses this quarter relative to last year. So that did certainly moderate that growth rate. In my guidance, I said, I think will revert back to the range of 23 to 25 for the second half, which would suggest that it will track higher in terms of growth rates for SG&A at least in the back half, but certainly helped by some reduction or significant reduction in litigation costs coming through this quarter relative to last year was probably the single biggest driver. And that certainly motivated the growth rate. And try to adjust for that in that kind of range above given as a percentage of revenue going forward to be a better indicator, I think.
John Deakin-Bell: That's helpful. Thanks Brett.
Operator: Your next question comes from the line of Saul Hadassin from UBS. Your line is open.
Mick Farrell: Saul, you may be on mute.
Saul Hadassin: No, I'm not. Can you hear me?
Mick Farrell: We can hear you now. Yes.
Saul Hadassin: Great, thanks. Yeah, just a question for Brett, Brett just on gross margin, I'm just wondering if you can give some color on the underlying sleep and respiratory care business to what the gross margin has done ex acquisition contribution and usually provide an outlook for the rest of the fiscal year for gross margin as well. Can you just give us that some color there too? Thanks.
Brett Sandercock: Yeah, I mean, I think going forward the second half, I think we'll be consistent with where we are, would be an estimate on the gross margin, as you know, a lot of moving parts on that. That would be our expectation. If you look at the acquisitions, we did – [indiscernible] halfway through the quarter, but fairly – it's kind of fairly minimal impact this quarter, the big drivers of that year-on-year growth or expansion of that gross margin around the product mix. And that's really being driven by that out performance you're seeing in mask growth and that's typically high margins, what you would see on devices so that that's the biggest impact. And then we're still seeing manufacturing efficiencies, some around logistics and so on as well. And they continue to come through on gross margin, so they're the two big drivers this quarter.
Saul Hadassin: Alright, thank you.
Operator: Your next question comes from line of Shane Storey from Wilson HTM Limited. Your line is open.
Shane Storey: Yeah, hi, thanks. Just looking again, back at the US mask business kind of just from another angle, you spoke about the adherence in resupply. But have you measured the step up in the number of mask per patient per year say, over the last 12 to 18 months and the last reference point that I've got is may be a tick under two per patient per year? So any observations around that might be very useful. Thanks.
Mick Farrell: Yeah, Shane thanks for your question. I think there's a whole portfolio of customers doing different levels of resupply in different countries around the world. If you take the example of France, there's a government mandated requirement that you provide to masks, two masks per patient per year. And it's different in all the 140 countries. Yeah, you focused on the US growth, which was strong. And yes, the last public number we didn't talk about that was 1.9 masks per patient per year. But look out of the 5000 customers in the US there's a broad spectrum of adoption of Brightree. Resupply, Brightree Connect, ResMed resupply, and technologies like SnapWorx that we just acquired. And so there's a broad range. But Jim, do you want to – Jim Hollingshead, do you want to provide any further color as to what you'd want to share on mask supply metrics?
Jim Hollingshead: Yes. Thanks Mick and thanks Shane. I would just add to add to a mix that just a couple things. The first one is the trend is we don't we don't talk about the number of publicly obviously, but the trend in the US has been steadily slowly, but steadily up over the last several years. And we attribute that both to the range of things Mick talked about earlier in the call. So better adherence tools that we're providing our platforms, better masks lead to better adherence initially and therefore better long term adherence and also the adoption of resupply platforms by our HME customers. So the trend is slowly and steadily up. It's still well below Medicare and commercial parallel levels and so it's a good trend and there's still a lot of opportunity.
Shane Storey: Okay, thanks.
Operator: Your next question comes from line of Steve Wheen from Evans & Partners. Your line is open.
Steve Wheen: Hey, good afternoon guys. My question is just on specs [ph] businesses and growth rate there. I was wondering if you could help us reconstruct that growth rate, particularly between MatrixCare and Brightree and perhaps as part of that, to give us an update as to your understanding of how those businesses are performing since you've been acquired. I guess, with reference to the EPS outlook that you provided at the time of the acquisitions.
Mick Farrell: Thanks for the question, Steve. That allows us to talk to our investment in SAAS and again SAAS this quarter was 12% of our global revenue. And so it's a sector that we're calling out and you'll see that in our financials. It's a very hyper competitive sector, when you look at HME software, you look at skilled nursing facility software and you look at home health and hospice software, so I'm going to be really hesitant to give detailed market share and/or growth rates within each of those sectors. What I said on the prepared remarks is true that cost – if you look at ResMed's weighted average revenue across HME, skilled nursing facility, home health and hospice, as well as the others private duty home care and client communities. The weighted average market growth rate in those sectors is in that high single digit. And during the December quarter over that portfolio we held share, we grew at the – taking out the acquisition benefit that gave us 37% growth. We grew in that high single digit on our weighted average portfolio. One thing I'll say is we've – when we hit April here in 2020, we will have and Brightree four years. And as you guys remember, because you followed the stock for a long time, the first two years with Brightree we were investing. Yeah, we put some new management team leaders in there we brought in new CEO, new CTO and some skill sets in R&D. We're doing very similar things now in our MatrixCare journey. And so I'm not going to break it out in detail, but qualitatively I'll say that the investments that we put in those first two years into Brightree are really starting to pay off. We've got new logos, new customers, new modules, and we're taking share, the growth is picking up. And at MatrixCare we're making those investments today in more R&D, more management skills and capabilities and looking obviously back in synergies across our portfolio. So I think we can meet or beat the timing of our Brightree investments and the strong and sustainable growth that we're now getting out of that in our MatrixCare investment.
Steve Wheen: Thanks Mick.
Operator: Your next question comes from the line of David Low from JP Morgan. Your line is open.
David Low: Thanks very much. Just a quick one from me, you mentioned that the mask sales included some software revenues, just wondering if you could explain what that is and how much contribution that will make going forward?
Mick Farrell: Yeah, there's a little bit of that. I'll hand it to Brett to go through the financial details on that.
Brett Sandercock: Sure. The probably the bigger one there is the – just through the software related to the – or the platform related to Propeller acquisition. So that's kind of – that's probably the biggest single delta, but there are a few other things there, but that's probably the biggest one.
David Low: Great, thanks very much.
Operator: Your next question comes from line of Andrew Goodsall from MST Marquee. Your line is open.
Andrew Goodsall: Thanks very much, just obviously looking at the current of coronavirus issue and I think if we go back to size, you might sales of about $5 million of sleep [indiscernible] levels into China. Just wondering if there's any follow through affect to yourself from the current coronavirus.
Rob Douglas: Yeah. Thanks, Andrew. It's Rob Douglas speaking. There's a pretty dynamic situation going on at the moment in China. And so tracking, it's difficult, but we are tracking very closely. In terms of our China business, we think obviously the hospital's going to be very busy on their respiratory. So there'll be a lot of focus on that. We would expect to see increased demand for ventilators, whether it's of the same relative scale to size or not, we don't know yet. We're actually working hard on our local supply chain there. Remember, we've got a really good team in China building good ventilators in China for China. And so, in fact, some of that team has been working in some of these hospitals and Jason Sun, Head of China they're local heroes who are really staying on the ground there and helping look after patients in the face of this terrible disease. So I wouldn't be predicting exactly what the impact will be on an overall scale, there will be an offset as well, likely the hospitals won't be looking at sleep patients for a while. So there may be some in asleep in China, but it's unlikely all of that to be material. Just one other point in terms of the overall business, we've mentioned many times our supply chain isn't configured around China. Most of its not in China, but there are some second and third tier suppliers in their way work closely with them at the moment. We wouldn't expect this to be a problem, but we'll have to keep a close eye on them.
Andrew Goodsall: Thank you very much.
Operator: Your next question comes from the line of Lyanne Harrison from Bank of America. Your line is open.
Lyanne Harrison: Good morning, gentlemen and thank you for taking my question. Just to continue the discussion on the SaaS business and probably most specifically previously we talked about resupply expansion and that given over about six months in, can you share how the resupply program outside of sleep apnea is tracking and what your expectations are for the remainder of financial year '20?
Mick Farrell: Thanks Lyanne. Yeah, so you're talking about our expansion of – our resupply capabilities, we went into some diabetic supplies and orthotics and urology products and so those – they're not a material part of ResMed's overall business. But they were a good expansion of ResMed's capabilities to look off to the HME sector beyond just sleep apnea and sleep app supplies that we are very good at making sure that they work through and so it's not material to our overall business. I'm not going to break out the specifics and other than to say they're going well and customers are adopting them and I'd love them to become a material part of our overall business to be able to break out like that. But it's early days and it's a good strategic ply of Brightree to sort of expand their capability with workflow optimization and both the combination of live call and tech that we use on masks and sleep apnea supplies. It's the same technology used on those diabetics and those other areas of HME. And so we're just helping our customers grow their businesses and get appropriate resupply when customers are there and requiring for authorization for it as well. So sorry, I can't get more specific than that, Lyanne.
Lyanne Harrison: Thank you.
Mick Farrell: Thank you.
Operator: Your next question comes from line of Gretel Janu from Credit Suisse. Your line is open.
Gretel Janu: Thanks. Good morning. So would you be able to give us an update on the outlook for competitive bidding? So what are your expectations in terms of reimbursement changes in 2021? And if there is potentially a decline in mask reimbursements, how is ResMed thinking about responding? Thanks
Mick Farrell: So I'll hand that question to Dave Pendarvis. Dave?
David Pendarvis: Yeah. Thanks Gretel. We continue to be at the same place we were last quarter. And that is we're waiting along with everyone else in the industry what the results are, the competitive bids that are in. We expect them at the end of the North American summer. So sometime around August or September and we'll know where the results are. We are pleased with the efforts that we made and others in the industry made to educate bidders, so they understand the portfolio nature of the lead item pricing and the impact of bidding on CPAP reimbursement on mask reimbursement. We're comfortable that that we conduct business with our customers now on a portfolio basis. And however, reimbursement settles out in the Medicare space. We expect to there'll continue to be strong demand for mask resupply that will continue to be important part of our customers business and it'll be an important part for patients' long term adherence success. So we don't see any significant changes in the trajectory going forward. But obviously, like with everyone else, we just have to wait and see what the actual reimbursement amounts come out to be.
Gretel Janu: Thanks very much.
Operator: Your next question comes from line of David Bailey from Macquarie. Your line is open.
David Bailey: Yeah, good morning, guys. Just for me Brett, cash flow looked a bit awake this quarter. Just wondering if you could talk through some of the moving parts there? You've called out the Department of Justice litigation settlement. Just talk us through what normalized tax cash payment would look like? And then also net interest on a cash basis for the quarter will be great.
Brett Sandercock: Yeah, so yeah, was impacted by plenty of tax payments as well, if you look at it underlying, excluding those I still think actually pretty strong on the cash flow front. Normalize is probably –you're probably more like around the kind of 40 million a quarter. And I think going into Q3, it's going to be more like that. So that's impacted for this quarter. Expect Q3 and Q4 to be much better in terms of cash flow performance. And in the next one was that on the interest, interest expense?
David Bailey: Managed expenses, it is broadly monitor [ph] the income statement you're talking about.
Brett Sandercock: Yeah, pretty close. You wouldn't – that's a good proxy. It's not that far different to that.
David Bailey: Yeah. Okay. Thanks.
Operator: Your next question comes from line of Chris Cooper from Goldman Sachs. Your line is open.
Chris Cooper: Thanks for taking the question. I was going to follow up to one of the previous questions. So the competitive bidding, I know it's a bit early to speculate on the particular outcome. I just guess I'm more interested in how you expect to manage the discussion with the DNA partners yourselves. Would you expect positive and negative changes to be passed on to you one to one? Or is there an outcome here where, I guess you bet more downside than the upside given there's a possible agreement here were some categories going to increase and some decrease just any thoughts around how you think that would be helpful.
Mick Farrell: So I'll hand that for David and if Jim, you want to add any color from the customer perspective, as well, but Dave you first and then Jim?
David Pendarvis: Sure, I mean, we already have ongoing discussions with our customers. We view them as good partners with us and we have robust discussions where they would like to get the best prices they can and we want to make sure that we serve them as best we can. That dynamic won't change with competitive bidding or anything else. So we expect to continue to have good discussions with them and the environment for the last year and a half and for the balance of calendar year '20 is that there's been about a 2% increase each year in the Medicare reimbursement. And so that's obviously contributed to a benign pricing environment that we've been experiencing for the last period of time. But we didn't participate with our customers in their bidding, obviously, they made their own decisions, we're confident that the bidding process will be a more fair one this time, and we're hoping it'll end up with a process that will be able to be good for the overall industry. But in terms of individual customer negotiations, Jim, you might want to comment on that.
Jim Hollingshead: Thank you, Dave. I'll just add to that, I mean, I think that's very well, but we do have very good relationships with all of our customers with our key customers and we'll work through it together. The other thing I would just remind everybody is a Medicare fee for service is the minority part of the market. So it's an important part of the market, but it's a small percentage of the market.
Operator: And your next question comes from line of Mike Matson from Needham. Your line is open.
Mike Matson: Hi, thanks for taking my questions. Just have, I guess one more competitive bidding question. So with – specifically with non-invasive ventilation, that's the first time it's been included, I think could see a fairly steep decline. So can you maybe comment on what you expect there? And then also, I don't know if you could quantify how much of your sales are coming from non-invasive ventilation in the US, but just to help us understand what the exposure is.
Mick Farrell: Dave and Jim, you again,
David Pendarvis: Up again, so thanks, Mike. Non-invasive ventilation obviously is in two different categories. One what we would characterize as life support ventilation is the new category that it's now going to be a competitive bidding, our air curve ranges the buy levels have previously been in competitive bidding. So that's not changing. It's more on the life support side. And that is newly there, but they're also had been reductions in that reimbursement over the past few years leading up to this. So it's not necessarily the case that you'll see the same kinds of reductions that you saw in the round two kind of range previously for the sleep products. Nevertheless, we think it's important that patients can benefit particularly COPD patients can benefit from these devices, they ought to get into the hands and that's of those patients and it's certainly a device that requires a lot of service. A lot of people in the in the home are making sure the device is working appropriately, so you need to have a strong reimbursement for it. It's a smaller group of customers who actually do this kind of business, and they're probably likely to be focused on what their real cost of serving are. So again, we're optimistic that our customers are sophisticated customers, they'll bid appropriately, so that they can make an adequate margin to be able to provide that service that's really, particularly in this area very well needed. So we'll wait and see how it goes. But we don't break out specifically our sales of life support anywhere in the US or otherwise, but thanks.
Mike Matson: Okay, thanks and then just would SnapWorx, maybe just comment on what that brings to the table they didn't already have with Brightree? Thanks.
Mick Farrell: Yeah, so SnapWorx is a technology that adds to Brightree end-to-end capabilities that SnapWorx has to partner with the HME. So it goes beyond just the live call and technology capability. They have provided to a number of customers and ability to further reach out to customers. And we had observed this software that was partnering with our Brightree platform and performing really well with those customers. And so we had a relationship with SnapWorx over the last 12, 24, 36 months and we've seen them really grow into a really good technology talking and the Brightree team looked at the technology from the team there in Nashville, Tennessee that created this tech and the entrepreneurs that created it. And we're really excited not only by what they're achieving in the market, which has better adherence and better engagement with both the HME and really importantly, with the end user customer. And what I bring it back which is the patient, what I bring it back to this is some data, some clinical data that we presented from the 5.5 billion knots of data that show that as you increase adherence, and as you engage with the patient and resupply the two add to each other. And some data we just released last quarter shows that for every hour of sleep, we reduce the total healthcare costs for inpatient by 8%. So this is all tied together, right. So Brightree, resupply – ResMed resupply and SnapWorx will increase adherence, drive increased mask resupply and that will also through that increased adherence lower the costs of the total healthcare system by 8% for every hour of sleep after those seven hours and so I think that combination is really powerful of now Brightree plus SnapWorx. Now, it's early days, we're just literally going through the finals of this acquisition, but watch us over the next 12, 24 months and we'll give you updates obviously every quarter as to how well that integration on that technology's going.
Operator: Your next question comes from the line of Suraj Kalia from Oppenheimer. Your line is open.
Unidentified Analyst: Good afternoon, and thanks for taking my question. This is Mike on for Suraj. We read recently that Fitbit is adding an oxygen variation graph for select users with an FDA submission for sleep apnea diagnosis somewhere in the near term here. I'm just curious if you see that as longer term helping to increase the number of OSA patients treated.
Mick Farrell: Yeah, Mike thanks for the question. And look, it's really interesting that tech companies are really getting involved in the field of, I call it health wellness and sleep wellness is a big part of that. Obviously, we have our partnership with Verily and I have the Google watch as part of their baseline study and they're doing some identification, I'd call it. You call the diagnosis; I call it identification of potentially at risk people for poor sleep suffocation or sleep apnea. I think what Fitbit has is along those same lines and what they try to do, and that Fitbit is now part of the Google portfolio. I believe there's an acquisition in line there. It'll probably add on to that capability of, if you see de-saturations in the oxygen, there's a higher likelihood. There's other causes potentially of those de-sat, but there's a high likelihood of sleep apnea, so I would call it more in the medical terms a screener that will then hopefully identify and engage a person that maybe I have a sleep issue, maybe I have a breathing issue and indicate to them they need to get on to the true diagnostic pathway. And then we can sort of bring them into the identification, engagement enrollment capability we're trying to perform. But look, Jim you run the global fleet business, is there any further detail you think about some of these tech companies and the ability for them to identify more patients?
Jim Hollingshead: Sure yet, Mike, thanks for the question. I think it's an unreserved good that companies like Fitbit are putting in place technologies to help consumers understand how they're sleeping and whether they might have a sleep disorder. And we know that there's 936 million people globally, who suffer from sleep apnea, the vast majority of them don't know it. And forever in the industry, one of the bottlenecks has been driving awareness on the one hand and then making objective screening and then diagnosis, on the other hand easier and so when companies like Fitbit – there's a whole range of companies that are now doing something like that in the space. When they when they decide to put that out in consumers hands. It's fantastic for us and for those patients more importantly.
Unidentified Analyst: Great, thanks Mick and Jim.
Operator: Your next question comes from the line of Anthony Petrone from Jefferies. Your line is open.
Anthony Petrone: So maybe just two quick ones, one just on local manufacturing just given bushfires, obviously in Australia, so any update just on that manufacturing plant. And then just one on legislation in the US, H.R.2771 just to maintain the 50-50 blended rate in rural areas, is there any update on actually where that sits and the likelihood that it gets to Congress this year? Thanks.
Mick Farrell: Thanks for the questions Anthony. I'll ask Rob to answer the first one around manufacturing and then Dave to answer the second one around the H.R.
Rob Douglas: Yeah. Thanks, Anthony. As we said the ResMed supply chain is configured around multiple sources. At this stage most of our manufactured products come from our Singapore plant, but we have full capability in the Sydney plant that does often focus on newer and more complex products. But we have full process capability in both plants. The fire season in Australia has been devastating. However, it hasn't actually gone into the outskirts of Sydney, which would actually make the whole thing a lot worse if it did. And today, we haven't seen any interference with that at all. But if there was interference that wouldn't overly affect us because of our ability to reconfigure.
Anthony Petrone: Thank you.
David Pendarvis: And as to the bill and we certainly support that bill. Again, we think it's important that our customers receive the appropriate reimbursement and particularly in rural areas. It's difficult to do that. So we certainly support 2771. I think it's – you may have noticed there's a lot going on in Congress these days. So it's a little difficult to get anything through. But there is an opportunity in the middle part of the year, when I think some of the Medicare extenders come up for renewal, that there could be a push to get this along with some of the other items the industry supports in place. So we'll have to wait and see. But we certainly support that. And at a minimum, Congress indicating their support the industry is positive.
Anthony Petrone: Thanks.
Operator: Your last question comes from the line of David Bailey from Macquarie. Your line is open.
David Bailey: You know like I'm just following up on Saul's question actually, just wondering if you're able to quantify the contribution of those acquisitions to US or America's masks and accessories revenues for the quarter that would be helpful.
Mick Farrell: Yeah, I said in the prepared – thanks for the question David. I said in the prepared remarks, it's the – so if you take that sort of global mask growth rate of 16%, and you take out Propeller software, you're going to be in the mid-teens, so maybe 100 basis points or something on global. And if you take the US growth, we're all pretty – I mean most of the Propeller software is the US growth on masks was 19% on a constant currency basis. If you take out Propeller and the software, you're about 200 basis points there, you're probably around 17% growth in the US territory, so 16 becomes around 15 and 19 would become around 17 David. I think that answers both your questions. And thanks to everyone for spending an extra eight minutes since we were eight minutes delayed due to the phone lines there, but appreciate that all.
Operator: And there are no further questions at this time. I turn the call back over to Mick Farrell.
Mick Farrell: Hey, great. Thanks, Christine. And thanks again to all of our shareholders for joining us on this call. I'd also like to take the opportunity to thank the 7,500 ResMedians, many of whom are also shareholders, for their dedication and hard work. You produce these great numbers that we get to report. You help people sleep better, you help people breathe better, you help people live better lives outside the hospital in a 140 countries, which is pretty amazing. Thanks for all that you do today and every day and we'll talk to all of you again in around 90 days. Amy?
Amy Wakeham: Great, thank you all again, for joining us today and to echo Mick, thanks for bearing with us through the audio difficulties. If you do have any questions or additional questions, please don't hesitate to reach out. As previously mentioned, all the documents along with the transcript and hopefully a clean replay of today's call will be available on our website. Christine, you can now close the call.
Operator: This concludes ResMed's second quarter of fiscal year 2020 earnings live webcast. You may now disconnect.